Cheol Woo Park: Good afternoon. I am Cheol Woo Park, Head of IR. I want to extend my greetings to you all in this year of the Blue Dragon, blue being the corporate brand color of Shinhan. I'd like to, first of all, thank you for taking part in the Q4 and the 2023 year earnings presentation of Shinhan Financial Group. Today's earnings presentation is attended by our new CFO, Chun Sang-yung; and Shinhan Card CFO, [indiscernible]. And also to explain about the economic outlook for 2024, we have with us Go You-son, Director of the Future Strategy Research Institute. We also have with us the Group CSO, Go Suk-Hyun; Group CRO, Bang Dong-Kwon; Bank's CFO, Kim Tae-Youn; Investment Securities CFO, Lee Hee-dong; and [ Investment ] and Life Insurance CFO, Park Kyoung-Won. In today's earnings presentation, we will first hear the 2023 full year business results and the outlook for 2024. And afterwards, we will proceed to a Q&A session. We now invite the CFO, Chun Sang-yung, for the 2023 earnings presentation.
Sang-yung Chun: Good afternoon. I am Sang-yung Chun. I am serving as the CFO of Shinhan Financial Group starting from this year. You can be rest assured that I will be committed to enhancing the group's corporate value and be open and forthcoming in all of my communications with the market. Let me now walk you through the business results for 2023, Q4, as well as for the full year. First, on the financial highlights on Page 5. In Q4 of 2023, the group realized KRW 549.7 billion in net income, down 53.9% Q-o-Q, owing to several one-off factors and recognition of expenses to prepare for future uncertainties. On a full year's basis, the group net income came to KRW 4,368 billion. Despite the robust top line led by the noninterest income, the net income is down 6.4% Y-o-Y due to the conservative recognition of credit cost and preemptive recognition of expenses. The group's full year CIR is down 2.5 percentage points to post 41.4%. Together with efforts at the group level to raise cost efficiencies, growth in operating profit has enabled the CIR to be managed at a stable level. The group's full year credit cost ratio is 57 bps, up 23 bps Y-o-Y. This is due to the preemptive additional provisioning made based on the conservative SLC and rerating of the PS product side. Excluding such factors, the recurring level credit cost ratio stands at 38 bps. Finally, the growth capital policy. Today, through the BOD meeting, the per share year-end dividend has been decided at KRW 525. And so the annual per share dividend comes to 2,001. As such, the total shareholder return rate for 2023 is finalized as 36.0%, including the KRW 485.9 billion in the 4 rounds of share buyback and cancellations. On the next page, the status of the shareholder returns and the plan for shareholder returns in 2024 will be explained to you in greater detail. Starting from 2022, our company has been paying out quarterly dividends and having gained in share cancellations more regularly to implement our shareholder return policy. In 2024 as well, we plan to pay cash dividends quarterly in uniform amounts, just as we have done last year, and also increased the per share dividend. Given that the base date for the year-end dividend and the dividend base date for Q1 of 2024 is quite close to each other, after the 2024 February year, dividend BOD, the resolution it was made to set the base date on February 23, which was the nearest date, also to enhance the predictability of the investors. In the case of the 2024 quarterly dividend, the base date was the same as the previous year, and the payment date for the dividend for Q1, Q2, Q3 was set for May 10, August 9 and November 8. In addition, going forward, the policy for share buyback and cancellation will be subject to regular reviews, as have been the case last year, including the KRW 150 billion for Q1 result at the BOD today. But on an annual basis, we intend to carry out cancellations that go beyond the level of the previous year. This will allow us, like last year, to continue to gradually increase the total shareholder return rate this year. On Page 7, please refer to the explanation on the direction of the mid- to long-term capital policy in long term since 2022. On Page 8 to 10, you will find the key financial highlights of the group and the explanation of the special one-off factors in Q4 as well as the earnings indices of the group. Please refer to it at your leisure. Now let me move on to the group's business results in greater detail from Page 11. Page 11, the group's interest income. In 2023, the group's full year interest income is up 2.1% Y-o-Y to post KRW 10,817.9 billion on the back of 1 bps rise of the margin and growth of 2.6% in interest-earning assets. In Q4, the bank's NIM posted 1.62%, down 1 bps from Q3 going to the rise in funding cost as low-cost deposit declined and margins fell modestly while loan assets grew. The bank loan assets grew 1.4% in Q4, and on a full year basis, it is up 3.2%. Household loans turned back to growth in Q4 and is down only 0.7% YTD despite the falling demand for unsecured loans impacted by the rise in interest rates and the TSR regulations as well as the impact from the securitization of the safe conversion relief loans. Corporate loans grew 6.6% YTD, with loan demand strong throughout the year for both the large companies and SMEs. For more details, please refer to Page 39. Next, on Page 12 for more details on the bank loan asset growth and funding and margin status. Please refer to it later on. Next on Page 13 is the group's noninterest income. The group's noninterest income is up 51.0% Y-o-Y as gains and securities improved significantly in the absence of the rapid interest rate hike effect of 2022. On a Q-o-Q basis, despite the growth in insurance income, social contribution program-related expenses and alternative investment valuation losses were recognized. Thus, the group's noninterest income was down 47.0%. The group's fee income grew 9.7% Y-o-Y due to the increase in gains related to recovery in retail consumption and stock market. The group's interest income is up 26.8% Q-o-Q, impacted by the changes in the best estimate assumptions. Next, on Page 14, our information on the current status of the group's noninterest income, please refer to it at your leisure. Next on Page 15, the group's SG&A. The SG&A is up 6.8% over Q3 due to seasonal factors. But on a Y-o-Y basis, the growth in depreciation and amortization and recognition of the ERP expense and the impact of the inflation had led to an increase of 4.5%. The group's cumulative CIR posted 41.4%, down 2.5% Y-o-Y due to the improved operating profit despite growth in the SG&A. When the impact of the ERP is excluded, it comes to 40.0%, improving by 2.7 percentage points. And now the group's credit cost on Page 16. The group's provision for credit losses throughout the year increased by 7.8% Y-o-Y, reflecting additional provisions for the deterioration of asset quality due to prolonged high interest rates and conservative economic outlook. On a Q-o-Q basis, there was a 61.4% increase in the provisions, driven by adjustments in the group's risk capital values, including LGD for real estate mortgage loans and additional recognition of credit costs through reassessment of real estate PF-related business sites. Looking at the delinquency rates regarded as leading indicators of credit loss provisions, the bank recorded a decrease of 2 bps Q-o-Q to 0.26%, indicating proactive management, however, it increased by 4 bps Y-o-Y. For card, due to preemptive credit measures, both the delinquency and the 2 months delinquency migration rates increased by 9 bps and 6 bps, respectively, Q-o-Q to 1.45% and 0.46%, respectively. Group's asset quality income by subsidiaries and overseas business are explained from Pages 17 to 21. Let us go to Page 22 for major capital indicators. The year-end CET1 ratio is expected to be 13.13%, an increase of 21 bps Q-o-Q. This is primarily due to an increase in net income and a decrease in risk-weighted assets due to lower interest rates and currency depreciation. Please refer to Pages 23 and 24 for the group's digital and ESG initiatives. And now the 2024 outlook. This year's outlook will be presented by Head of Shinhan Future Strategy Research Institute, Go You-son.
You-son Go: Hello. I am Go You-son heading the Future Strategy Research Institute. Let me walk you through the domestic business environment outlook for 2024. First, following last year's growth rate of 1.4%, this year's GDP growth is also expected to remain in the mid- to late 1% range. While the recovery of exports in the semiconductor and IT sectors from last year's slump is seen as positive, it is anticipated that domestic consumption will continue to be hampered by high inflation and high interest rates. It is expected that this year's growth rate will again remain below the potential growth rate of 2%. Within this growth trajectory, the funding demand for export companies is expected to increase this year. However, the financial situation and asset quality of domestic companies are expected to deteriorate. Overall, the asset growth momentum in the financial sector is expected to decelerate. Let me address the inflation rate. This year, the domestic consumer price inflation rate is forecast to decelerate from last year's 3.6% to the mid- to late 2% range. While demand side inflationary pressures are expected to weaken due to economic slowdown, supply side pressures remain high due to concerns such as prolonged war and escalation of conflicts in the Middle East. Due to these conflicting factors, inflation is expected to gradually decline, but it will likely exceed the BOK's inflation target of 2% for a considerable period. Consequently, household consumption capacity is expected to be constrained by inflationary pressures, leading to a delay in the recovery of consumer goods companies. And for businesses and financial institutions, managing supply chains and SG&A stably will become pertinent because growth is going to be restrained. And next, let's discuss interest rates. In 2024, interest rates are forecast to remain in the mid-3% range, similar to last year based on the average yield of 3-year government bonds. Both Korea and the U.S. are expected to consider lowering base rates only after the middle of the year due to inflation concerns, resulting in a gradual decline in market interest rates. Even if rates decrease, they will still be higher compared to the low interest rate environment of the 2010s, leading to increased funding costs and delinquency risks for financial institutions. The impact of these high interest rates is expected to vary by industry, depending on funding methods and asset quality levels of banks and credit specialized financial companies. Lastly, the real estate market. While Korea's household debt-to-income ratio remains high, concerns about persistently high interest rates and potential defaults in real estate PF suggest that the stagnation in the domestic real estate market will continue this year. However, the possibility of the crisis spreading to the broader financial system appears low, thanks to the relevant government measures taken. In 2024, the domestic real estate market is expected to witness a polarization with strong preference for prime assets such as properties in the sole metropolitan area and apartments, while preference for other regions and non-apartment housing weakens. And more than anything, strengthened financial authorities, prudential measures and capital regulations, coupled with increased burden on the financial sector, seems inevitable. This concludes the business environment outlook. Thank you for your attention.
Sang-yung Chun: Thank you. On Page 27, I will go over the financial guidance for 2024. Firstly, the group plans to drive growth in one denominated loans considering the nominal GDP growth rate level in order to facilitate efficient RWA and capital management. Additionally, while anticipating at least one interest rate cut in the latter half of the year, we will pursue an active margin management policy. We will strive to continuously improve noninterest income by actively responding to market trends, as we have done in 2023. Furthermore, we will strengthen group-wide cost efficiency activities by implementing efficient SG&A management, aiming to maintain the group's CIR ratio at the early 40% range. Lastly, regarding the most critical aspect for this year, the provision for credit losses, we plan to continue enhancing our conservative risk policies to manage the credit cost ratio within the previous year's levels. From Page 29 and on more details about the major subsidiaries and their business results are outlined. Please refer to them for more information. This concludes the presentation, and we'll go into Q&A. Thank you.
Cheol Woo Park: Thank you for the presentation. And now we will take your questions. For those of you who have a question, as we have already notified, while you're on Zoom, please use the raise hand function, and we will be providing consecutive Korean interpretation for English questions. We will receive the first question from HSBC, Mr. Won Jae-woong.
Jaewoong Won: In a difficult and challenging environment, thank you very much for your effort to advance your shareholder return policy. So in 2023, 36% was done, last year, 30%. So the policy is up 6% now. The share cancellation disclosure shows that KRW 160 billion was disclosed this time. So to our understanding, uniform quarterly cancellation and uniform dividend is what we understand for your policies. So this year, your share buyback is about KRW 600 billion. So the return rate was 16% or 11% last year. And this year, if you calculate, it's going to be about 12%. So 1 percentage point is going to go up. And cash dividend was 24.8%. And if dividend goes up from there, in the case of last year, this was about -- so from the 6% return rate, it's going to go up. So that means the growth rate or interest rate will drop this year. So are you going to have the same cash dividend policy? Or should we continue to expect the level of return rate increases that you have shown over the previous years?
Cheol Woo Park: So thank you very much for those questions. Please wait for a while we prepare the answers.
Sang-yung Chun: So you talked about the shareholder return policy last year. When we announced our shareholder return policy, we talked about 3 things mainly. First, the per share dividend, we will expand, and we also will have regular quarterly dividends. And we will engage in flexible share buyback so that the total shareholder return can be expanded gradually. So the foundation of this will be the stable CET1. And so in our view, shareholder return rate, coupled with the commitment of the company policy and consistent implementation and financial stability, must underpin all this. So with regards to policy, we have made a very clear announcement. And last year, despite market concerns, the CET1 ratio was defended, and quarterly share cancellation was undertaken. So that we have implemented our share return policy, and our consistent implementation was also demonstrated to the market. As we have said, in the case of dividends, a solid increase will be met. And in the case of total shareholder return, share cancellation will be done flexibly. That is a key point. And as you've said, primarily on a quarterly basis, is about KRW 150 billion. In terms of methods, whether it would be quarterly or maybe it can be a 6-month basis, but the annual dividend level is going to be that. We will be able to do sufficiently at that level. Although there are a number of uncertainties, we will be looking at the P&L level, and we will be engaging flexibly in share cancellation going forward. And the pace and the magnitude of the growth of the return rate is something that we cannot be able to ascertain at this point. It depends on the macro situation and other factors. So we will take those into consideration and a BOD resolution will be passed in this regard. But with regards to our commitment, we will stand firm and maintain that commitment. And this year, it's a bit down, but the top line profitability that we have and also given our loss absorption capacity, we do believe that we have the ability to carry out our existing shareholder return policy. That is all. Thank you.
Cheol Woo Park: Thank you for that answer. We'll take the next question. It's from Daishin Securities, Park Hye-jin.
Hye-jin Park: I am Park Hye-jin from Daishin Securities. I have a question about the provisions. In securities, compared to on a Q-o-Q, there was the valuation loss of the nonsecurities. So I'd like some details on that. And the second question is the financial authorities, they are strengthening the provision regulations for credit companies. And so the capital requirements have become more conservative. And is that included in the Q4 numbers?
Cheol Woo Park: Thank you. Please hold as we prepare the answer.
Taekyung Lee: Yes, as for nonmarketable securities, the securities provisions and the nonbank side provisions and Securities CFO, will answer and then I'll take the second part of the question.
Heedong Lee: Thank you for the question. I am Security CFO, Lee Heedong. So you did talk about the provision related matters, nonmarketable securities and about the losses and the provisions. In Q4, we have done the year-end closing, and we were conservative and create preemptive about the provisioning requirements. And of that, what had occurred was the real estate PF. And other than that, for overseas alternative investment part. Recently, the investment -- well, the investments were not recent. They were made quite a while ago. It was before COVID-19. And after the investment was made, the interest rates remained high and the underlying asset was rerated and there were losses incurred from that repricing effect. And in the past, when we were doing the PBS business, Line fund, and there was the TRS contract and for the underlying assets, the asset repricing led to losses. So that is it for my end of the answer.
Taekyung Lee: Yes. As for the nonbank side, as you mentioned, recently, real estate PF is affecting nonbank side rather than the bank loan loss absorption and provisioning and the financial authorities are more worried about nonbank. So near the closing period, capital savings, securities, the PF provisions have been set aside conservatively. So that's what I can say at the outset and as per Shinhan Securities, for real estate PF, 8.3% was the provisioning rate. Capital was 5.5%, that was the provisioning rate. And the senior debts and as for the individual business sites, the provisioning rates are going to be different. So internally, up until the very end, we have provisioned against those potential losses very conservatively.
Cheol Woo Park: We'll take the next question. We don't have any one with their hands raised. Yes, we have a question. HSBC, Won Jaewoong.
Jaewoong Won: Yes, thank you very much for this additional opportunity for asking questions. It's the same question I asked previously, but I want to clarify. So treasury share, the uniform buyback or cancellation is going to be flexibly done. I didn't really quite understand your answer about this part. So can you elaborate on that once again.
Cheol Woo Park: So I would like to ask you for -- to wait for a few seconds while we prepare the answer.
Taekyung Lee: So when we talk about the shareholder return policy, predictability has been very much emphasized. Starting from last year, we have engaged in quarterly cancellation but there can be a lot of changes to the environment. So it may not be shareholder cancellation only, but depending on the situation, it can be a 6-month basis. There is room to move in handle it differently. But on an annual basis, we will continue to expand upon the size of the share cancellation. So that will be my answer to your question.
Cheol Woo Park: We have Kim Do Ha from Hanwha Securities.
Do Ha Kim: Thank you for giving me the chance. I may have missed the explanation. So for additional provision, you talked about KRW 350.6 billion. And could you share with us the breakdown of the provision and recurring CCR, what is the expected level of recurring CCR this year?
Cheol Woo Park: Thank you for your question. Please hold as we prepare the answer.
Taekyung Lee: Yes. My answer may not be satisfactory. And if you need more information after today's call, we'll give you additional data. In Q4 last year, we have set aside KRW 350 billion for countercyclical buffer and LGD adjustment, KRW 160 billion TAM exposure, KRW 230 billion and real estate repricing preemptive, it was KRW 160 billion. So that would be the breakdown. And as for the second question about the recurring credit cost ratio, and it's kind of difficult to directly answer that question because last year on an annual basis, it was 57 bps. The credit cost was a very high and it was mostly recurring provision increase because of uncertainties and our preemptive loss absorption and because of regulations, and will this credit cost be maintained? Well, in the past, when you do a time series in 2008 GFC and before the previous crisis, they had risen to 60 bps and 80 bps. But compared to those periods, the systemic risks are less likely to happen, and we do have the management systems in place for the asset quality management. So we don't think that, that will go as high. And up until last year, we have set aside provisioning on a very conservative perspective. And this year, maybe the economic deterioration could worsen, but our internal target is to maintain the CCR at a level of previous year.
Cheol Woo Park: So next question is from CLS Securities, Shim Jongmin.
Shim Jongmin: I'm Shim Jongmin. So I have one question. In the presentation on Page 6 on the bottom half, if you look at the notes, capital allocation plan at Page 4. So of course, it may differ depending on the quarter, including the share buyback on an annual basis, 40% of shareholder return rate, that we expected. Does that -- so does this mean that or does it hold a different meaning?
Cheol Woo Park: So please hold while we are preparing to answer for the question.
Taekyung Lee: So let me take that question. It's verified in print, you read that well. Capital allocation plan of [ 6 to 4 ]. Well, what that means is that internally, 60% of the growth of the net income will be used in our growth and remaining 40% will be used for shareholder return. So what you need to consider more from that is also the economic cyclicality and other factors. So you should not interpret that as a mechanically, automatically meaning 40% of shareholder return rate. No, that is not the interpretation.
Cheol Woo Park: We'll take the next question. It's from NH Securities, Jung Jun-Sup.
Jun-Sup Jung: I am Jung Jun-Sup from NH Securities. For mid- to long-term capital management, CET1 ratio target is set at 13%. And maybe I think you're considering the regulatory environment. So this year, up until the year-end, within realistically feasible perspective. So how much higher do you intend to raise the CET1 ratio? And the CET1 ratio at the year-end as will that be connected with the shareholder return policy?
Taekyung Lee: Yes. You did ask about the capital ratios and as for CET1 with the countercyclical buffers and stress buffers up until the year-end, we do believe that the guidelines will be confirmed. And within that boundary, the CET1 ratio target is 13%. So you did ask about the anticipated CET1 ratio. We are running many simulations, and we want to manage our CET1 ratio above 13% and as it is this related to shareholder return policy. When we talk about the principle of shareholder return policy, we say that the prerequisite is stable CET1 ratio. We look at the stability and the loss absorption capacity of CET1 ratio. So that will be the prerequisite. So yes, the 2 factors are connected. And internally, we believe the CTI ratio level comes first, and we are mindful of the shareholder return policy.
Cheol Woo Park: We will take the next one. Cho Jihyun from JPMorgan Securities, please ask your question.
Jihyun Cho: I have 2 questions. First is related to the social contribution program. So from the total how much of that was reflected in the fourth quarter and the remaining balance at what point will they be recognized as expenses. So the timing is my question. And what has been recognized in the fourth quarter? Is it categorized as operational expense? Or is it categorized as provisioning? And my other question is you talked about the real estate PF KRW 157 billion has been provisioned in addition. But with regards to overseas real estate, I think you also mentioned that you recognize losses for that as well. So over these countries provision -- is that amount included in the amount that you have presented? And recently, with regards to U.S. commercial real estate, there are growing concerns, how much exposure do we have on that front? And what kind of risk does that pose to the company? Can you provide your answer in financial indicators?
Ok-Dong Jin: You have asked 2 questions. So with regard to social contribution program, the CSO will answer those questions. And with regard to the overseas alternative investment our CRO will take those questions. If additional comments is necessary, I will be providing those.
Taekyung Lee: I am Taekyung Lee, the bank's CFO. Thank you very much for those good questions. In the case of the social contribution program, the total amount is KRW 376 billion, including all of the different elements and KRW 14.6 billion has been recognized in 2004 and the remaining has been [indiscernible] in 2023 and the account category is other operational expense.
Dong-kwon Bang: I'm the group's CRO. So with regard to real estate PF provisioning, the overseas alternative investment is separate from that. In the case of the overseas alternative assets, the U.S. commercial real estate has been referred to. So in the case of overseas real estate, about KRW 4.1 trillion, insurance, KRW 1.6 billion, and banco, KRW 1 trillion, NPL is about 5%. So 70% is in the form of beneficiary certificate. And every year from an outside rating company, we received ratings and every year, we recognize the losses. And in the fourth quarter of last year, KRW 130 billion was recognized as losses and how we manage this? So most of them are real estate. So on all else inspection on-site inspection audit is conducted among the KRW 4.6 trillion assets, we select the assets-at-issue and among the assets-with-issues, we carry out reviews and priority watch list assets are also selected. So that's how we manage it. So among the priority watch list assets, the losses -- valuation losses are being recognized. And through such close management, we will be carefully managing these assets.
Taekyung Lee: So let me comment and add to that. In your question, you talked about the U.S. commercial real estate and concerns about this, yes, we do understand this is a very risky situation. And several years ago, starting by several years ago for overseas alternative assets and the U.S. commercial real estate, we have engaged in ongoing monitoring. And as the CRO mentioned, through an outside rating company, we have used objective standards to review them and sufficient loss recognition is being made internally for the overseas alternative of assets and for the overseas real estate. So we have been identifying assets that are at issue. And over a span of 3 years, we have been provisioning against losses. And in our judgment, among the assets with issues -- 35% other of the book value has been provisioned against losses. Well, of course, losses can be greater than that. However, even our loss provision up until now, we believe that additional losses in the future will be quite constrained. Of course, we will continue to engage in monitoring. And if the need arises, we will set aside additional provisioning.
Cheol Woo Park: We are still waiting for the next question. Let us hold until we see the next question come up. [Operator Instructions] From Hanwha Securities, Kim Do Ha, yes, please go ahead.
Do Ha Kim: I want to ask a minor question. What is the margin trend by quarter? What are your expectations?
Taekyung Lee: You talked about the margin by quarter. The bank CFO will answer. Yes, in 2024, the margin trend will be shared with you, what we expect is in the first half, the high rate of installment savings will become mature, and there will be repricing. And in the second half, interest rate cut will be made. And so overall, compared to 2023, the margin will fall slightly, and we'll manage within that.
Cheol Woo Park: This -- I think we had received a lot of questions today. If you have not been able to ask your questions during the earnings presentation, please contact our IR team. With this, we would like to conclude the Q4 and 2023 full year earnings presentation of the Shinhan Financial Group. We would like to ask for your continued support, and I hope that our future earnings presentations will help to further your understanding and insight into our company. Thank you very much. And we will wish you a nice lunar holiday. Thank you.